Operator: Greetings, and welcome to the AmeraMex Second Quarter Financial Results Conference Call. At this time all participants are in a listen-only mode. A question-and-answer session will follow the presentation. [Operator Instructions] And as a reminder this conference is being recorded. I would now like to turn the conference over to Marty Tullio. Thank you. Please go ahead.
Marty Tullio: Thank you and good morning everyone. Before we begin today's call, it is important that everyone understand that the statements made in this conference call that result in future financial results, markets, growth plans or the completion of the SEC audit, are forward-looking and involve certain risks and uncertainties associated with demand for the Company's products and services and development of markets for the Company's products and services. Actual results, events and performance may differ materially. Conference call participants are cautioned not to place undue reliance on these forward-looking statements, which speak only as the date of this conference call. AmeraMex undertakes no obligation to release publicly the results of any revisions to these forward-looking statements that may be made to reflect events or circumstances after today’s call or to reflect the occurrence of unanticipated events. Now, I would like to turn the call over to AmeraMex's CEO, Lee Hamre. Good morning, Lee.
Lee Hamre: Good morning, Marty. I'd like to thank everybody for joining us this morning for our second quarter conference call. With me today is our CFO, Hope Stone; our Chief Operating Officer, Susan Anderson; Michael Maloney, our Board Member and off course Marty Tullio, our Board Secretary. I would like to thank you, our shareholders for your ongoing support. Before I turn the call over to our new CFO, Hope Stone, for a review of the second quarter financial statements, I would like to provide a brief update of our mandatory two year audit necessary for the preparation of our Form 10 and its submission to the SEC. During our last conference call, we discussed in detail where we stood with our audit. Our new CFO and her accounting team have been working closely with our outside audit firm and we are pleased to report the audits for the years ended December 2016 and 2017 are substantially completed. The auditors are waiting for only the amended tax returns from 2015 and 2016, those returns had materially over reported income on equipment that is being leased. Based on our conversations with our tax accountant, the auditors will have the amended returns within the next few days for their review. We were looking forward to announcing the signed off completion of the audits today, but expect to announce our completion shortly. Hope, would you please provide an overview of our financial statements for the second quarter ended June 30, 2018?
Hope Stone : Thanks Lee, and good morning everyone. I'm pleased to join the AmeraMex management team at this time. Becoming a reporting company is both exciting and challenging as we make our -- we make sure profits and procedures are in place to meet the rigorous of being a public company in the standing. I along with the management team am confident we can meet these challenges. As we have stated in previous news releases the summer months are historically our slowest sales months. We are pleased to report that sales in the second quarter are up substantially over last year's second quarter. Please be aware that some of the comparable 2017 numbers may have changed due to adjustments made during the 2016 and 2017 audit. Here is a brief overview of our second quarter ending June 30, 2018 for ease of presentation, the numbers are approximate. Revenue for the quarter was 3 million, a 118% increase when compared to revenue of 1.4 million reported for the second quarter of 2017. Gross profit for the quarter was 1.1 million compared to 700,000 from the 2017 second quarter. Gross profit, as a percentage of sales was 38% compared to 49% for the 2017 quarter. The company's gross profit such [Technical Difficulty] or refurbished, sold or leased. Net income for the quarter was 175,000 compared to net loss of 7,500 for the 2017 quarter. For the six months period, revenue was approximately 4.7 million, a 47% increase when compared to revenue of 3.2 million reported for the comparable six-month period. Gross profit for the six-month period was 2.4 million, a 47% increase when compared to gross profit of 1.5 million. Gross profit as a percentage of sales was 50%. Net income for the six-month period was approximately 400,000 compared to net income of 250,000 for the 2017 six months period. I would now like to turn the call back to Lee.
Lee Hamre : Thank you, Hope. For an update on African opportunities, we're continuing to respond to request for proposals from several West African companies. Our agreement with Oshkosh Defense, LLC allows us to market their products in two countries, Nigeria and Angola. Our representative in Nigeria that we've been working with -- as this is part of the government and we've been working with them to develop a list of tactical vehicles that they need. This has been going on for several months, as he has to work with the generals from all the different divisions of their military, and once this list is totally compiled, they have told us they want to visit the Oshkosh Defense Manufacturing Facilities based on their conversation this visitation is to take place before the end of this year. This is not cast in stone and the dates have been moved a couple of times in the past. As mentioned, we do have some tough competition from both China and Russia, as they market both new and used military equipment. Fortunately, we have built a good working relationship with several high level government officials and market a superior line of military equipment from a well recognized and respected manufacturer. On another note, our Menzi Muck relationship got off to a little bit of a slow start for the year, but things have turned around. We are the Western states dealer for Menzi Muck walking excavators and the Northern California dealer for ASV track floaters. We have ASV demonstration equipment and Menzi Muck demo equipment here at our facility. And in June, we participated in an off-site equipment demonstration of mastication equipment for the local gas and electric company PG&E or Cal Fire and for the U.S. Forest Service. The demonstration was for the people that write the contracts to offer out to private companies to do mastication. So what they are trying to organize, as a way to cut down and eliminate underbrush in the forest with these machines but the guys at the demo are not the guys that do it, they are the guys that write the contracts and put them up for bid. So we are on track with where we expected to be. The writers of the contracts are doing that more than likely it will be the budget for next -- probably starting after the first of the year to start doing mastication at the lower elevations and after the snow is gone in the spring next year to do mastication at a higher elevations. The demo went really well. Everybody liked the Menzi Muck and the ASV. There were other manufacturers there that were doing mastication also. Although they didn't draw as much attention as the Menzi Muck. And because of the demonstrations we did receive eight requests for pricing from companies that do contracts with PG&E and Cal Fire and the Forest Service, work in controlled forests and state parks. These organizations, such as Cal Fire asked their list of contractors to provide them a bid to remove undergrowth using equipment and then they suggest the machines they like the best, so they are suggesting the Menzi Muck and the ASV as acceptable machinery for these projects. They can't demand that they use our products, but they do suggest that they are approved and will not be questioned. The contractors then asked us to provide a quote, so they can respond to the Cal Fire request for bid. Responding to a bid does not equate to a sale every time this is a long process and monies must be budgeted, Cal Fire fiscal year begins July 1, and already this year only six weeks in it has spent $230 million, which is more than half of its total budget of 442 million fighting wildfires that you've all seen on the news. So this mastication and clean-up for the forest to cut down on fires is a big-big deal, and I think we'll see a lot of activity with it coming in the next year. Utility companies such as PG&E are also responsible for removing undergrowth and their budgeting method is different. Most of their mastication work is under power lines that run through open lab. The core business, we believe this is going to be a great year for AmeraMex. We hope to be a fully reporting company, which will increase our exposure as we move from the pink sheets to the OTCQB trading platform. This will benefit both our stock price and all of you shareholders. Thanks to our government's policy changes, we've seen increased orders and inquiries from our target markets for the purchase and lease of new and used heavy equipment including the specialty line of container handlers that we've been dealing with for the last few years. We are excited based on conversations with our customers, the economic development and positive business outlook is driving their growth, which in turn drives ours. As of today, August 15th, we have booked $9.4 million in sales. Now that’s spread out over the next few months to make deliveries. It is possible part of that will not be delivered until the first quarter of 2019. It's all scheduled for delivery by the end of the year, but that doesn't always mean it will make it, so. We believe this positive outlook will continue throughout the rest of 2018 and beyond. With that said, we would like to begin the question-and-answer session for today's call. Operator, would you like to begin the Q&A?
Operator:
Lee Hamre: Well no, I've made all the comments I need to make. Nobody has any questions.
Operator: Not at this time.
Lee Hamre: Okay, so then we'd like to thank all of you for participating in the call and for your questions, which we didn't get any of, and your continued support. We look forward to speaking with you when we're ready with our third quarter financial results and we're ready to disseminate them. Thanks again.
Operator: This concludes today's teleconference. You may disconnect your lines at this time and thank you for your participation.